Jeff Edwards: Good morning, everyone, and welcome to the Schwab 2024 Spring Business Update. This is Jeff Edwards, Head of Investor Relations and I'm joined today by our Co-Chairman and CEO, Walt Bettinger; President, Rick Wurster; and CFO, Peter Crawford. As you saw in earnings today, we had a nice strong start to the year, so there's plenty to cover today. But before jumping in, let's quickly cover off a few of the typical housekeeping items. The slides for today's business update will be posted to the IR website at the start of Peter's remarks. Q&A is still one question, no follow-up and let's try to limit the six and seven part questions if possible. Of course, we always encourage you to jump back in the queue if additional questions come to mind. And as always, please don't hesitate to contact the Schwab IR team regarding any clarifying or some of the more tactical questions. And finally, the ever present wall of words that showcases our forward-looking statements and remind us that the future is indeed uncertain, so please stay up to date with our disclosures. And with that, I'll turn it over to Walt.
Walt Bettinger: Thank you, Jeff, and good morning, everyone. Thanks for joining us for our April business update. So we began welcoming, the majority of our employees back to the office last October 1st. And as a result, I began traveling the country, hosting town halls and round tables to meet many of the employees who had joined us both before or during the pandemic and hear from them. In addition, I shared some of my perspectives on the economic environment, the strength of the Schwab franchise and my confidence for the future. After having lived and worked through many economic cycles, I shared with our people that right when things often seem the darkest, they tend to turn around and begin to appear brighter. Of course, I didn't know last fall just how accurate that would turn out to be. It's a wonderful lesson in not overreacting to things that are outside our control. As I sit here today and of course, recognizing that there are certain environmental and geopolitical risks that remain the green shoots of a turnaround in the environment are appearing and we're seeing it positively impacting virtually every area at Schwab, from investor engagement to net new assets to client cash realigning to capital building and, of course, to revenue and earnings. Combined with the timelessness of our through client size strategy and the hard work of our incredible team of Schwab employees, my optimism for the future is strong. Of course, we didn't simply wait around and wait for a better environment. Our teams have been hard at work on key areas like the Ameritrade integration, enhancing our digital capabilities and platforms and delivering the world class level of service our clients have grown to trust and expect from us. So let's go ahead and dig into the first quarter of the year. Inflation remained at relatively moderate levels during the quarter, down substantially from just over a year or two ago. And even as the market reduced expectations for the pace and extent of fed easing due to the stubborn inflation readings, the equity markets continued to move higher during the quarter. Investor sentiment continued its recovery with the bull bear spread maintaining its recent strong position. And not surprisingly, traders also began to become more active per our Schwab Trading Index or STAX looking for opportunities to benefit from the improving overall sentiment. They're encouraged by the improving environment, our clients became even more engaged in the markets, with daily average trades up 15% over the prior quarter, client borrowing or margin balances up 9% in one quarter alone. Total client interactions with Schwab were up 17%. And as they engaged more, they also took the opportunity to seek our help more often with net flows into our investment advisory solutions up almost 70% quarter-over-quarter. All these metrics reinforce the confidence our clients have in us and each of them provide support for our optimistic view of the future. Now as we progress through the quarter, we were gratified to see a resumption in the strong organic growth we've been able to produce for many decades. Highlighted by core net new assets for the quarter just shy of a $100 billion and with the month of March particularly encouraging with about $45 billion of core NNA, and that's a 6% annualized growth rate. New brokerage accounts also grew to over 1 million in the quarter. That's the first time that we've exceeded 1 million since the initial quarter of last year. Our progress in net new assets during the quarter was due at least in part to a slowing of the level of expected asset attrition from the Ameritrade integration. Although we continue to expect to see some degree of attrition throughout the balance of this year, overall attrition from former Ameritrade clients continues to moderate and remains below the levels that we anticipated when we announced the acquisition in late 2019. A major factor in the falling attrition is, of course, that clients become accustomed to the Schwab platform as well as they recognize that many of the prior Ameritrade platform features we have built into the Schwab platforms. I'll go ahead and share a little bit more around the details of how former Ameritrade retail clients are responding post conversion in terms of their promoter scores, when I move to the next slide. So speaking of retail client promoter scores, we achieved record levels as measured in the first quarter. Our overall score was 69, and interestingly, with our premier fee based advisory solution, Schwab Wealth Advisory, which some of you may know by its former name of Schwab Private Client, it reached a promoter score of 80. I think what's particularly interesting here is that we achieved this lofty score in a solution where clients are paying fees for our advice and guidance. It's clearly a reflection of just how far we have come at Schwab from our roots as purely a discount broker and the appreciation our clients have to be investments we've made and building our modern wealth management capabilities. Of course, we still offer world-class service for self-directed investors and an incredible value for fee conscious investors but the diversification of our model is building. Now as I mentioned earlier, we're also tracking our promoter scores for former Ameritrade retail clients who converted over to the Schwab platform. Now what we see there is an initial dip in those scores, probably to be expected given the changes that they face. They have to learn a new mobile app, a new website and the like. But over a fairly short period of time, their scores begin trending toward our historic scores for Schwab clients. 90 days post conversion, their scores increase on average about 25 points and after nine months, their scores have improved about 45 points. I think these results are another testament to the quality of integration and conversion work that's been done by our dedicated people who've been working on the Ameritrade conversion. And while mentioning the strength of our offerings for retail investors, we continue to be recognized by independent third parties for the quality of our platform and service. I do want to call out a special mention of the success we're achieving in our 401(k) and defined contribution business that operates under our workplace financial services arm. The premier evaluation of service providers in that industry is done by PLANSPONSOR Magazine, and they again recognize Schwab with the highest number of best-in-class awards for the seventh consecutive year, and that's more than two times the number of best-in-class awards compared to the second place finisher. A relatively remarkable run of recognition and a challenging business line where bigger is often mistaken as better. And then lastly from a third-party recognition standpoint, we were honored when JD Power named Ameritrade and Schwab as number one and number two in their satisfaction survey for self-directed investors. Ameritrade's number one ranking reflects the highest they have ever scored and it was clearly aided by the multiple Schwab enhancements that we've made to the client experience for Ameritrade users. A couple of those being the addition of our Schwab security guarantee and a substantial reduction in the speed to answer client phone calls. I think this recognition illustrates the power of the combined platforms and our decision as part of the integration to go with the best of both in design. I understand that this approach added some time to our integration efforts, but I'm confident it will pay dividends for years to come. Before I turn it over to Rick, I'd like to spend just a moment commenting on the final client transition group that is planned to convert over to Schwab next month as well as maybe summarize the overall Ameritrade integration. Next month, we'll convert the last 10% of Ameritrade client accounts and assets but this group is incredibly important and it's also unique. It's made up of our most active traders and many are power users of the thinkorswim platform. For these clients, the conversion experience should go relatively smoothly because unlike the prior four transition groups for this group, the client experience is essentially unchanged. They'll continue to have access to the trading platform, TOS that they have historically utilized while also adding all of the features and benefits of Schwab. In terms of the clients and the overall integration effort and as largely expected after initial settling in period, clients in our transition groups are engaging with Schwab and the expanded array of capabilities we offer. These clients are now beginning to bring new assets to us and their trading volumes now exceed the levels of trading they were doing pre-conversion when they were exclusively at Ameritrade. And we're not saying that all integration-related asset attrition is over just yet. But as we've shared previously, when all is said and done, we expect to have performed in line or even better than the levels of client asset and revenue attrition that we projected when we announced the acquisition in late 2019. In my opinion, the combination of the best of Ameritrade with the best of Schwab sets the bar for anyone serving retail investors and independent investment advisers alike. Our combination of platform, service, dedicated relationships, investment advisory for retail clients and expertise serving independent investment advisers is a powerful combination for driving future growth. So Rick, let me turn it over to you for some more discussion on our efforts and results during the first quarter.
Rick Wurster : Thanks, Walt and hello, everyone. Now we're coming out of the first quarter with strong momentum in our four strategic priority areas, as we continue to focus on driving scale and efficiency, win-win monetization, meaning the personalized needs of our client segments and delivering brilliantly on the basics that our clients expect. Let me start with scale and efficiency. Scale and efficiency has been a key enabler of our success and our ability to disrupt the industry. Looking back to 2013, expense per account has come down 23%. In inflation-adjusted terms, we've cut the expense to serve an account roughly in half. At the same time, as you can see on the right-hand side of the page, we have an expense advantage against our competitors. This means more of our clients' wealth is working towards meeting their goals. This is a hallmark of our business model and a driver of the virtuous cycle because it means we can reinvest back in our clients over time. With our consistent focus on expense discipline and scale combined with the synergies from the Ameritrade conversion and continuously improving our operations, we are able to drive down costs. As we look forward, we'll fully realize our planned synergies from the Ameritrade integration and we'll invest in AI. We'll invest in end-to-end process transformation and we'll invest in technology enhancements to add to our expense advantage, while making sure we continue to deliver a no-trade-offs experience to clients. Enhancing our wealth and lending offerings remains an important win-win monetization opportunity. We're making progress on both fronts. Our clients continue to seek out our advisory solutions in record numbers and we have made a number of important advancements in our lending capabilities, which clients have really appreciated. In the first quarter, we saw a record $14 billion in net flows into our advisory solutions, a 60% increase over last year. We have seen continued interest in our flagship wealth offering, Schwab Wealth Advisory, along with increased interest in Wasmer and Schwab personalized indexing. Schwab Wealth Advisory attracted a record $4.4 billion in net flows for the first quarter with approximately 30% of those enrollments coming from legacy Ameritrade households, which to us demonstrates the power of the opportunity ahead of us as we introduce more Ameritrade clients to the breadth of all we have to offer. Demand for our Wasmer Schroeder fixed income strategies continues to be strong with $2.3 billion of net flows, which is up 55% over last year. And as Walt highlighted earlier, the clients in these wealth offers are our happiest clients at Schwab. These solutions consistently achieve our highest Client Promoter Scores. As we look forward, we are investing to add capabilities to our wealth and advice platform to support our accelerated growth. Turning now to client segmentation. While we will always meet the needs of the full spectrum of investors, we continue to provide tailored offers for specific client segments. The specialized experiences we recently launched for retail high-net-worth clients, which we call Schwab Private Client Services and Schwab Private Wealth Services are just two examples. Our high-net-worth and ultra-high-net-worth client segments are among the fastest growing at Schwab and they represent approximately three quarters of our total retail client assets today. And the specialized service models that we launched last year are serving these clients well. In the first quarter, the team serving these clients answered calls on average in less than 10 seconds and 80% of the calls were resolved by the rep who first answered the phone without needing to transfer the client to another rep or group. We are adding to our product and advice capabilities for these clients with the anticipated rollout this year of an alternatives platform for retail investors. We've also launched our investor advantage pricing for clients and are working on additional lending capabilities to meet this client segment's needs. We're also continuing to invest to provide a trader client experience that is unparalleled in our industry with our Schwab trading powered by Ameritrade offer. The first quarter, we saw robust trading activity across the board, including strong continued engagement from our Ameritrade clients. Traders at Schwab have access to the thinkorswim trading platforms as well as specialized service teams and tailored education for traders of all levels of expertise and sophistication. And this is an area that we continue to invest in to maintain and expand our advantage. We doubled the number of Schwab households this quarter they used thinkorswim. We believe that our trading offer has never been stronger in terms of our execution, our platform, our service and the combined research that we offer to our clients through the research and educational capabilities of both Schwab and Ameritrade. Turning now to Brilliant Basics. We want to delight our clients with exceptional experiences in every interaction they have with us at Schwab, and we want to be the easiest place in the industry for our clients to do business. This means that we're continuing to make investments to enhance the investor experience for all of our clients. This includes digital interactions like our streamlined digital onboarding for RIAs, where they can now open and fund multiple accounts in just minutes or in our enhanced pledged asset line process, where we can now process a pledged asset line in just minutes for most loans. For the pledged asset line, the client experience is usually a conversation with their FC or their RIA to discuss the product, to discuss the rate and what assets they'd like to pledge. Clients then get a DocuSign e-mail asking them to sign to apply for the loan. The time from that e-mail to the e-mail that says the line open and is ready to draw is just about three to five minutes. The feedback from our clients on this process has been off the charts. We have also worked hard on our digital experiences to be as welcoming as possible to Ameritrade clients by incorporating the features and functionality that's of greatest importance to them. We've also enhanced our move money and self-service capabilities and incorporated DocuSign into our commonly used forms. And it also means we're providing access and intuitive experiences when and where our clients want to engage with us. Whether that's in one of our 380 branches, whether it's on the phone where clients can expect their calls to be answered in less than a minute or whether it's online through our Schwab Intelligent Assistant. With -- through clients' eyes as our foundation, investors continue to turn to us to serve their wealth management and investing needs through all market cycles. We are both ready for the final Ameritrade conversion group and ready to push forward on our four strategic focus areas to serve our clients. We believe we are well positioned to meet the evolving needs of clients and deliver organic growth in line with our historical levels. And with that, I'll turn it over to Peter.
Peter Crawford: Thank you very much, Rick. So you all heard Kurt -- Walt and Rick talked about our increasing momentum in the market driven by our no-trade-offs positioning and the satisfaction and loyalty of our existing clients; the significant progress we've made with the Ameritrade integration and the success we're having in string to unlock the substantial opportunities the combination enables and our progress and plans around our four strategic priorities, which we're confident will allow us to continue growing with both our existing clients and new to firm. In my time today, I'll review our solid first quarter financial performance. I'll provide an update on some of the key factors influencing our near-term story and I'll share some high-level thoughts on the rest of 2024, though recognizing that it's still early in the year, so we won't be sharing updated mathematical illustrations until July. The important point is that we sit here today, one year removed from the events surrounding the regional banking crisis, we are in a very strong position with nearly all key business and financial indicators improving, in some cases, substantially. We've seen meaningful progress back towards our historical pace of organic growth, a continued moderation of client cash realignment activity with the pace slowing even faster than our expectations. A further reduction in the usage of supplemental borrowing, revenue and earnings that have bounced up from the prior quarter with much more room to grow throughout this year and beyond. Continued expense discipline with head count down modestly from year-end and a full 10% lower from the year-ago levels. And finally, a continued increase in our capital levels, both our regulatory levels and those inclusive of AOCI. Now back in January, Walt and I both said that 2024 is likely to be somewhat of a transitional year from a financial standpoint, but along with steadily improving financial results, the bridge from what proved to be a challenging 2023 to what we believe is a very promising future ahead. One quarter of the way through the year that transition is well on its way, as our core earnings power is becoming less obscured by some of the near-term headwinds and our long-term financial formula that you're all familiar with growth in the client franchise, driving scale in the business, leading to improving financials and ultimately, capital return re-enters the picture. As Walt mentioned, the first quarter has been characterized by a supportive macro backdrop, increased engagement and solid organic growth. We saw that reflected in external benchmarks, such as the S&P 500 as well as key drivers of our business performance, including trading activity up 15% from the first quarter -- sorry, fourth quarter of 2023 and margin balances up 9% sequentially as well. That constructive foundation paved the way for our financial performance to improve significantly from the fourth quarter with $4.7 billion of revenue driven by a 5% sequential increase in net interest revenue and a record $1.3 billion of asset management and admin fees, an adjusted pretax margin of roughly 41%, up nearly 500 basis points sequentially and adjusted EPS of $0.74, up $0.06 from the prior quarter, a demonstration of the leverage our model provides as the headwinds we've been facing begin to abate. Now turning our attention to the balance sheet. Total assets dropped by 5% driven by the pay down of parent-level debt and the continuation, albeit at a much slower pace of the client cash realignment activity we've experienced roughly two years. We saw a notable reduction in activity from January to February and March. And the overall level of realignment in the quarter was more than 80% less than the same quarter in 2023. And within the bank was an amount that we could support with the cash flow from the investment portfolio. And that allowed us to reduce our usage of supplemental borrowing by nearly $9 billion during the quarter, bringing the total down roughly $25 billion from the peak last May. And finally, despite increasing rates during the quarter, our capital position continues to get even stronger with our consolidated Tier 1 leverage ratio rising to 8.8% and our adjusted Tier 1 leverage ratio, inclusive of AOCI and therefore, what our binding constraint would be if we lose the AOCI opt-out at Schwab Bank now at 5.7%, meaning that we're now above what will likely be the new well-capitalized standard at our banks over four years ahead of the earliest anticipated implementation date. During last quarter's update, we talked about the slowing pace of client cash realignment but we also shared our expectation that we're likely to see some typical seasonal activity to start the year. And that's indeed been the case. And while clients continue to engage in the market, both the number of newer realigners and the size of those realignment events continues to trend lower, bringing us ever closer to the point where any residual activity among existing clients will be more than offset by the contribution of cash from new accounts and making client cash realignment a story that we're optimistic will soon move to the back pages. Now as we turn our attention from the solid quarter we just completed what we expect to be a very bright future, we expect our net interest margin to expand through 2024 and 2025 and approached 3% by the end of 2025, driven mostly by the pay down supplemental borrowing. Now the actual pace of paying off that borrowing will be influenced, of course, by the level of deposit growth but also by the growth of margin balances. And why is that? Given the way that the liquidity ratio or LCR rule works for every dollar of margin balance growth, we need an extra roughly $1.50 of client cash of the broker-dealers. And that requires us to reroute some client cash balances from bank sweep to the broker-dealer cash solution. And those are balances that we'd otherwise have used to pay down the supplemental borrowing. But I want to make very clear that increased margin loans expand both our net interest margin and our net interest revenue. We are happy to carry some of these supplemental borrowings at roughly 5-ish percent to support lending activity that currently generates closer to 8%. Now on the expense side, we continue to maintain spending discipline with the objective of flattish expenses year-over-year. Even as we have grown accounts and assets during the quarter, average head count dropped roughly 3% from the fourth quarter and is down nearly 10% year-over-year. But of course, the ultimate path of expenses will depend to a certain extent on some volume-related factors such as trading and equity market valuations which, of course, correspond to revenue. And finally, we continue to expect strong growth revenue and earnings through the year with an exit velocity in the fourth quarter substantially higher than where we are today and the potential for continued sequential growth in 2025 and beyond. Now one final but important point I would make, the long-term NIM expectation I communicated is based off the dot plot forecast from a few weeks ago in anticipation that we'd see interest rates come down in the coming years. And to the extent those rates stay higher for longer that is a good thing for our business. We are asset-sensitive. A continuation of higher rates means higher yields on the -- a little bit more than 1/3 of our assets that are floating, margin loans, lend -- pledged asset lines cash, et cetera, and potentially, more time for us to capitalize on higher rates once we resume our investment activity following the pay down of our supplemental borrowing. So again, if we don't see 150 basis points of easing by the end of 2025, as the Fed suggested a few weeks ago, our net interest margin could actually exceed that 3% figure above all else being equal. Despite -- and finally, despite long-term rates that moved higher during the quarter, our capital ratios have continued to grow with our banks now all measurably above the well-capitalized level, even if AOCI is included. And we continue to expect our consolidated adjusted Tier 1 leverage ratio to reach the upper 6% range by the end of 2024, at which point we'll be in a position to at least consider potential options for resuming further capital return. And that paves the way for return to our long-term financial formula, one that combines our position as the premier asset gatherer in our industry with a track record of consistent 5% to 7% organic growth through the cycle, industry-leading client loyalty, a leadership position in the two fastest growing segments within wealth management and significant opportunity in front of us. Our diversified revenue model allowing us to convert asset growth into revenue growth with contributions from net interest revenue, asset management fees and trading and over the next several years, a major tailwind in the form of NIM expansion, a focus on disciplined expense management, highlighted by a recognition that our low-cost structure is a big competitive advantage as Rick talked about and a scalable business model that enables both margin expansion over time and investments to continue to grow the business and a business model that can combine that strong organic growth and revenue growth with more meaningful capital return as our capital levels inclusive of AOCI march higher. This is a formula that has worked in the past and it's every bit as relevant today as ever. With that, I'll turn it over to Jeff to facilitate our Q&A.
A - Jeff Edwards : Operator, can you please check the queue and see if we have any questions?
Operator: [Operator Instructions] And our first question comes from Ken Worthington with JPMorgan.
Kenneth Worthington : You paid down $2.4 billion of Federal Home Loan Bank borrowing, $9.1 billion of CDs this quarter, so $11.5 billion in total. Is this the pace of borrowing pay down that you would expect for the next couple of quarters? And to what extent are the higher markets and greater asset levels and the solid volume helping to boost the pace of payback versus your initial expectations?
Peter Crawford : Yes, Ken. So we're certainly -- our priority is to pay down the supplemental borrowings, both the CDs and the FHLB, as quickly as we possibly can. And the pace of paying that down is really driven by the -- as I mentioned in my comments both the levels of transactional cash that we see as well as the mix of that transactional cash between the bank and the broker-dealer. So we'll do it as quickly as we can. To the extent that we see greater contributions from new accounts and a greater level of deposit growth that will accelerate that. In terms of the market engagement in the strong markets, it's really sort of two forces going on there. When markets are higher and moving higher, we do see clients more likely to change their asset allocation and move into the equity markets and that ends up being a negative for some of that cash. On the other hand, when markets are higher, clients are more engaged and so they're more likely to add to their accounts with money from outside of Schwab. And so that's certainly a positive for us as well.
Operator: Our next question is from Steven Chubak with Wolfe Research.
Steven Chubak : So I wanted to ask a question on the sweep cash growth algorithm. Just given sorting is in the very late innings, the second derivative on sweep cash is steadily improving, was hoping you could speak to the proportion of new cash dollars are getting deployed into money market versus bank sweep and how that informs expectations for when sweep deposits could not only stabilize but actually begin to inflect positively.
Peter Crawford : Yes. So Steven, I would say that when you look at the new accounts, you tend to over time, look a lot like the existing accounts. They come in with a heavier portion of cash than -- but we are seeing some of the new accounts kind of realigning ahead of bringing that money -- that business to Schwab. One of the things we saw in this last quarter, for example, is we saw that our transferred accounts dollars were actually a higher portion of our net new assets than they've been for last year. That is a good thing. I mean that means we are winning business from competitors. Clients are entrusting us and choosing to ship more of their business to Schwab versus our competitors. But that also means that some of that net new assets is coming in the form of securities and mutual funds, et cetera. So it really depends. Our expectation, of course, is we will see that the realignment among the existing clients continue to moderate not necessarily go to zero, but continue to moderate and then get offset by -- as we see growth from contribution of cash from new accounts over time and we'll see a resumption of deposit growth. And over time, our transactional cash will grow with the growth in accounts and the growth of our total assets.
Operator: Our next question comes from Alex Blostein with Goldman Sachs.
Alexander Blostein : Could you guys expand a little bit more on the capital return priorities as you make your way back to higher capital ratios as you pointed out over the last couple of quarters? Would the preference be to a larger buyback, maybe kind of how we saw in the past or something else?
Peter Crawford : So certainly, capital return it remains a very important part of our financial formula. We've obviously paused our buyback at the moment to enable us to more quickly grow into what we expect will be our new capital requirements. But our baseline forecast anticipates that our capital level is growing inclusive of AOCI growing to the levels that we had excluding AOCI previously. And at that point, we expect to be in a position to at least consider, as I mentioned, returning more capital to our stockholders. Again, it's not -- we've always said our buyback is opportunistic, not programmatic, not automatic. And in terms of our capital return priorities, we always consider a few different things. We look, of course, at our dividend, which tends to grow with growth in earnings. We look at doing common buybacks. And then, of course, we also look at preferred redemptions as well. And we'd want to look at the full landscape, I guess, if you will and also take into consideration as we do so, the interest rate environment, what we're seeing from clients, the level of supplemental borrowing we have outstanding and so forth. But those are all the different aspects, the different vehicles that we consider as we think about capital return. But again, capital return is a very, very important part of our financial formula and something we think, as you look over time, will continue to be very, very important for the company.
Jeff Edwards : Hi, operator. We have a few questions that have kind of trickled in over the course of the day on the console here, so maybe let's insert one. Maybe this one is for Walt. Recognizing this is a bit of a topic to jour across most industries, could you spend a minute talking about the role of AI or artificial intelligence in Schwab's go-forward strategy?
Walt Bettinger : You're right. There's an incredible amount of hype that you have to sort through here. But we do believe that AI has a lot of long-term potential for us in making a difference in serving our various client segments. I think it -- for us, it can really impact the efficiency of service as well as enhance digital experiences for our clients. At the same time, we tend to believe that it will be the marriage of AI with humans that will deliver best for our clients. Of course, we have been very active in the use of AI for things like security and fraud detection for a number of years. And of course, the challenge is there. It's also being leveraged by bad actors. So there's a constant effort to stay a couple of steps ahead there from a security and fraud detection. I think from a productivity and efficiency standpoint, big opportunities are there. And a very simple example is take the difference between someone answering a client call who has a year of experience versus someone that has 20 years of experience that gap today, even with access to our knowledge center capability, likely exists just given the difference in tenure and experience. I would expect that gap to close dramatically given some of the projects and initiatives that we have going on with AI today that will provide real-time knowledge support for all of our reps. When you switch over to something like generative AI, I think it's going to be a while to watch that technology mature. I know that may not match some of the hype that we hear some speaking of. But I think that technology will need to mature. There will be a lot of work that will go on with regulators along the way to ensure that we can deliver for clients without some of the inherent biases that you sometimes see. But AI is a big, big opportunity for us to further delight our clients to deliver on the Brilliant Basics that Rick spoke of and continue to ensure fairness and transparency and accountability with AI usage as we navigate the opportunities that will be present there.
Operator: And our next question comes from Brennan Hawken with UBS.
Brennan Hawken : Given that today is April 15 and we have our taxes due, hoping that you could give us an update around what trends you've seen around tax payments month to date and maybe an early read on how this tax season compares with other tax seasons you've seen.
Peter Crawford : Sure, Brennan. So we're still not all the way through -- obviously, through the tax season. But I would say on the whole this tax season is proceeding, generally speaking consistent with our expectations. It looks a lot more like tax seasons from years prior to '22 and '23 with more of our clients' cash being in money funds. A lot more of the tax payments are being paid by -- through redemptions of those money funds, again, not surprisingly. So, overall consistent with what we've seen and again in previous years before '22 and '23.
Operator: Our next question comes from Devin Ryan with Citizens JMP.
Devin Ryan : So you guys have about $350 billion more in money market balances today than you guys did at the beginning of 2022 when the Fed policy shifted. So if the path of interest rates is lower from here, how sticky are those balances? And do you think your money flowing out of money market funds over time, is that a net opportunity for Schwab or is it drag? I guess it would just seem to matter where some of that money would flow. So it'd be great to get an update there given how large those balances are today?
Peter Crawford : Yes. So I guess I would want to split that into two pieces. You're right. So obviously, balances of money funds are certainly a lot higher today than they were a few years ago and obviously higher than when we were in the zero interest rate environment. To the extent that money -- so it depends on why that money is flowing out of money funds. If it's flowing out of money funds into the equity markets, in the mutual funds, et cetera, of course, it then depends on what the vehicle is. If it's flowing out of money funds into cash on our balance sheet, then clearly, that's a positive for us from a revenue standpoint. What I'd say is if interest -- our expectation is if interest rates fall modestly under 100 basis points or something like that you'd see a -- over time, you'd see a little bit of a shift in the proportion of cash that's sitting in those transactional cash solutions like bank sweep and the broker-dealer cash solution versus money funds. It's not going to happen immediately. It's not like people sell their money funds when rates fall by 75 basis points. But what happens is if they need cash, they may sell a money fund. And if they want to -- if the cash accumulates, then maybe on the margin somewhat less likely to put that into a money fund. And so over time, you see that shift change slightly. Where you see a much more dramatic impact would be if -- of course, if rates fall back to levels that we saw in 2020 and 2021. That tends to be the period of time where you'd see a much more significant reduction or shift from money funds onto transactional cash. And the nice thing about that -- is -- that is something where -- in an environment like that, where spreads on some of our floating rate assets compress, having more of that cash on our balance sheet allows us to offset some or all of that impact. So it is sort of some dry powder, if you will that helps mitigate the revenue -- potential revenue impact from a very low interest rate environment.
Jeff Edwards : I'm going to push out one more of those console questions here. I think this one is for Rick. It was great to see the interest from the Ameritrade side in terms of enrollments in Schwab Wealth Advisory. Maybe a little more color about what other advice solutions they're gravitating towards?
Rick Wurster : Jeff, maybe before I dive into the wealth solutions they're gravitating towards, I'll just make a comment about the overall integration. We've gone through now four transition weekends. We'll have our fifth coming up shortly. From an operational standpoint, those have gone exceptionally well. And as Walt shared earlier, the more time Ameritrade clients spend at Schwab, the happier they become, as you see the robust expansion in their Client Promoter Scores. We're now getting to what I think is the most exciting part of the combination, which is the ability to introduce the combined capabilities of our two firms to both sets of clients. And we've seen the number of Schwab clients that are using thinkorswim, we saw those double in the first quarter. So our Schwab clients are taking advantage of one of the great capabilities of Ameritrade, which was its trading and educational platform. And we're seeing the same thing happen for Ameritrade clients. Our wealth platform, we think is incredibly strong. And we've been able to introduce it to the Ameritrade clients through our relationship building and through a different approach to engaging with clients that's holistic and wealth and financial planning-oriented. And that has led to much greater engagement and wealth solutions among Ameritrade clients than in the past. In fact, we've seen 97% of legacy Ameritrade FCs have opened up some form of wealth or advice solutions in the first quarter. In terms of your specific question, what they're gravitating towards, Jeff, the majority of the assets are going towards full-service wealth solutions either our Schwab Wealth Advisory capability or our Schwab Advisor Network, which makes RIAs available to our clients. They've also gravitated towards Schwab Personalized Indexing and to Wasmer Schroeder. So those would be the four, but the majority of flows are going to full-service wealth. And that's exactly the power of the combination that we thought we'd see and we're seeing it. And what's most gratifying about that for us is that on the other end of that is a client who's like we're making a big difference in. So we're excited about these trends.
Operator: And our next question is from Brian Bedell with Deutsche Bank.
Brian Bedell : Maybe just back on the balance sheet, Peter in relation to the tax season. Assuming, obviously, that we'd get a contraction in the balance sheet in the month of April just given tax season but can you talk a little bit more about investing client risk on behavior investing in assets and then that coming more from the money market funds versus the transactional cash? And maybe just your confidence that the earning assets could rebuild throughout the year back to 1Q levels at the end of March or even potentially exceed that?
Peter Crawford : Yes. So I'm not sure entirely -- I guess what I'd say is, let me just try to answer your question maybe a little bit higher level, so -- without making serve prediction around where we're going to end the year, right? Back in January, we shared those mathematic illustrations steering clear of giving you a specific prediction. And the reason we did that is because the actual pace of deposit growth depends on a number of factors that are frankly hard to anticipate, right? It depends on what's going to happen with interest rates, investor sentiment, the pace of new account formation and the level of the contribution of cash from those new accounts. And those same dynamics are true today. As I mentioned, our clients -- in a strong equity market, clients tend to be net buyers of equities, although the impact is probably not as great as you might think. Oftentimes, when I look at the daily flows of into and out of equities. And oftentimes, you'll see our clients buying equities on those down days because they end up seeing it as an opportunity to step into the market and buy the dip if it -- as it were. I think the more significant impact is that at a time when the markets are -- when clients are feeling more enthusiastic, when investor sentiment is higher, they do tend to put more money into their accounts, both cash as well as they're more engaged in their accounts. And what we've seen over time is that when clients are more engaged in the investing process that is a period of time when we tend to win that -- when clients sort of pick up their head and sort of look around and say, I want to invest they tend to shop around a little bit more and in those situations, we tend to be a winner in terms of business. And so that, I think is part of the reason that we've seen a very strong transfer of accounts this quarter and we're gratified by that and hope that continues.
Operator: Our next question is from Bill Katz with TD Cowen.
Bill Katz : Maybe just to mix up the topics a little bit. Peter just coming back to expense guide for a moment. Q1 tends to be rather seasonally strong just given FICA and sort of payroll increases, et cetera. The 2.8 sort of annualized out to just over $11 billion, but just given head count reduction year-to-date and seasonal dynamics, how should we be thinking about the sort of full year bogey right now and the incremental margin on revenues?
Peter Crawford : So Bill, we'll provide an updated expense outlook in our July update. As I mentioned in my prepared remarks, we're targeting flattish expense growth. We've definitely taken steps to limit our expenses and have been very disciplined in terms of the hiring and so forth. And that's why you've seen our overall labor equivalents come down from the end-of-year levels. Over the course of this year, we'll continue to capture some of the remaining expense synergies related to the Ameritrade integration with the expectation that we'll have fully captured those on a run rate basis by the end of this year. I'm not going to get into sort of exactly timing around sort of when in the year we're going to capture those expense synergies but that's certainly our expectation. So we're targeting flattish expense growth. As you know, Bill, from following our company for a while, there are some expenses that grow and fall with levels of client engagement, things like trading. There's trading pass-through expenses that are aligned with revenue. There's third-party expenses that go up and down based on equity market valuations. There's, of course, our bonus funding, which goes up and down based off of our financial performance. So those are a little bit harder to gauge. But again, if they're going up that's certainly good from a revenue standpoint. But our objective right now is -- and continues to be to very disciplined on expenses and with the objective of maintaining that in a flattish level for the full year.
Jeff Edwards : Another question from the console here, this one is from Chris Ryan at Barclays. Walt, maybe you could start with this one. It's a question on retail competitive landscape. There's competitors that have been in the market with fairly attractive deposit matches, which appear to be driving cash inflows for the firms. Is this something that the firm is worthy of some sort of competitive response? Or is it something that Schwab isn't really worried about?
Walter Bettinger : Let me first say that the least innovative thing any company can do in our industry is to buy business by giving someone cash. It is certainly a strategy that some firms employ. It is not a sustainable strategy over any period of time. It is not a sustainable strategy when you're talking about meaningful dollars. There have been some rare circumstances where we have chosen on certain clients to respond to those offers. When we have responded, we have been able to retain the clients that we wanted to retain for about 15% of what maybe an alternative firm might be offering in terms of cash, which I think is an interesting reflection of the way the client values the difference in their experience. There have been some clients that we have let go without offering any incentive to stay. Generally speaking, those are clients who have chosen to move assets that they have no intention of trading with or doing anything different with. So as an example, a client might have a significant holding in a given stock of Microsoft, NVIDIA, something like that. And they'll take advantage of one of these offers and move those individual positions while leaving the rest of their assets at Schwab. Knowing that they're not going to liquidate or trade or do anything with those assets and proactively telling us that as soon as the required holding period expires, they'll move those assets back to Schwab. So again, it's something that goes on in our industry and we watch it very, very closely but it is not innovative and it is not sustainable as a means to grow. The only way to grow is to delight clients, offer them no trade-offs, operate your business through clients' eyes. That's the only way to have any form of sustainable organic growth. And we like our track record at that and are incredibly optimistic about our future with those approaches.
Operator: And our next question is from Kyle Voigt with KBW.
Kyle Voigt : Just given the steady progress now on supplemental funding pay down and as we look out over the next 12 months or so, it seems that we could be a zone whereby the securities book is no longer in runoff and you begin to reinvest or even grow the book. I'm wondering if we could get an update on how you're thinking about the ideal structure of securities portfolio in terms of fixed float mix and duration over the medium term. And should we expect any changes to your historical views on balance sheet structure as we get towards growing total interest-earning assets once again?
Peter Crawford : Sure. So we're still going through the process of thinking through that. You're right, we will be in a position, of course, to resume our reinvestment. I would characterize the sort of balance sheet changes being evolutionary versus revolutionary, we've always assumed that when we lose the AOCI opt-out that we would need to be very mindful about the size and duration of our available-for-sale portfolio given the potential variability -- capital variability that would create. And so I think you'll see us take some steps to manage that duration appropriately. What that does in terms of if you think about our overall consolidated asset duration of sort of 2 to 2.5 years, sort of top of the house that's still really a TBD. But I think on the AFS portfolio, again, you'll see us take steps to manage that. As I say, I think the overall changes, they are going to be evolutionary versus, again, not revolutionary.
Jeff Edwards : Looks like we have maybe time for one last question. So just given the continued interest here, maybe we'll do this last one from the console. And maybe Walt, you could start off. Just around the general approach that clients are taking on their cash and the continued evolution of those realignment trends more recently.
Walter Bettinger : Yes. And of course, Peter touched a little bit on it on the earlier question around equity trades. I think if you look at the supplemental metrics that we provide with our earnings, it really tells an important story that the notion of client cash realigning is a story of 2022 and the early parts of 2023. When I look at overall balance sheet cash over the last six months, it's down $8 billion. And at the same time, if I look over the last six months, for example, adjusted large capitalization stock purchases, which is the largest category by far of equity trades that clients do with us, those are up $25 billion. And so the concept of realigning is just sort of one that has played itself out. We were very early in the process. We were very proactive at reaching out to our clients, encouraging them to move their non-transactional or what we call investment cash into higher-yielding alternatives. Not surprising when you're proactive and explain the benefit of that to a client, they take advantage of it. And they did, and they did early in the process. And today, that's just not a meaningful part of our story. One last comment on it. I know there were past periods where people try to equate the growth in purchase money funds to impact around client cash realigning. And I know Peter was particularly clear in emphasizing the danger and doing so that they really weren't correlated. Again, go back over those last six months, where balance sheet cash went down about $8 billion in total, purchase money funds is up $80 billion. So there's really no correlation there at this point in time. The story of client cash realigning has played out.
Jeff Edwards: Great, Walt. I'll turn it over here to Peter to close this up.
Peter Crawford: All right. Well, thank you, Jeff and Rick and Walt, and thank you all very much for joining us and hearing our thoughts on the state of our business and the opportunities in front of us. We're certainly gratified by the momentum we're building and the progress we're making on the integration of Ameritrade and really unleashing as Rick talked about, the potential of the combined firm, the resumption of our historical organic growth rate and really unlocking that core earnings power. We're certainly mindful that we have a lot of work ahead of us, but we're really excited about the future. And we're looking forward to sharing more about what fuels that excitement at our Investor Day in May next month. I hope to see many of you there. Thanks, everyone.
Operator: Thank you. That does conclude today's conference. Thank you all for participating. You may disconnect at this time.